Operator: Welcome to the IBEX's Third Quarter [Full] (ph) Year 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a Q&A session. [Operator Instructions] Please remember that today's call is being recorded. I would now like to turn the conference over to Mr. Michael Darwal, Investor Relations of IBEX. Sir, you may begin.
Michael Darwal: Good afternoon, and thank you for joining us today. Before we begin, I want to remind you that matters discussed on today's call may include forward-looking statements related to our operating performance, financial goals and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinion as of the date of this call and we undertake no obligation to revise this information as a result of new developments, which may occur. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our annual report on Form 20-F filed with the U.S. Securities and Exchange Commission on October 4, 2022. With that, I'll turn it over to Bob Dechant, CEO.
Bob Dechant: Thank you, Mike. Good afternoon, everyone, and thank you all for joining us today as we share our third quarter fiscal 2023 results. Nearly three years have passed since our IPO of August 2020, highlighted by a number of great moments for IBEX. Earlier this month, on Monday, May 1, we proudly celebrated by ringing the closing bell at Nasdaq. As a public company, IBEX has built a track record of transformation and execution. Our journey from IPO to today continues to get stronger and better. Once again, I'm extremely proud of how well our business is performing: first, we delivered outstanding financial results, where we again [stairstep] (ph) profitability across our key metrics, including adjusted EBITDA margin, net income, EPS and free cash flow; second, we continued strong double-digit growth in our digital-first BPO 2.0 clients that resulted in robust growth in our more profitable offshore, nearshore and rest of world regions; next, we continued to make strategic moves to position our business for long-term enhanced results; lastly, I am proud of the progress we continue to make on the ESG front. We set a new standard in adjusted EBITDA margin with an all-time high 18.5% or $24.4 million, up 390 basis points from a year-ago quarter. This is the second straight quarter margin has been above 18% and we believe we are now at a new normal. Net income increased to $11.7 million from $6.6 million. Free cash flow increased to $13.4 million from $5.9 million. And EPS was $0.59 per share. Revenue grew to $131.6 million, up 8.4% when normalizing for the Q4 FY '22 exit of a low margin legacy client. More importantly, revenue with our digital-first BPO 2.0 clients grew at 12.3% and is now 78% of our overall business. And revenue in our higher margin regions grew at approximately 15%. In the quarter, we made aggressive decisions with our clients to accelerate the move of significant business from our U.S. region to the Philippines. While this collaborative move impacts our revenue, it will have an immediate and long-term positive impact on profitability. Not only are we gaining from the move into more profitable regions, but our clients are benefiting as well, as we lower operating costs for them as a result of favorable labor costs. Additionally, these actions are enabling us to further rationalize our U.S. capacity. This will be completed by the end of our fourth quarter and will further strengthen our position for FY '24. We remain excited about our pipeline and the opportunities with high-profile clients. Since our last call though, we are now seeing lengthening of sales cycles in our pipeline as a result of the macro environment, pushing new client revenue out. Despite that, we continue to win great new logos in our key verticals. For the fiscal year, we are forecasting new revenues in the range of $30 million to $35 million. Based on our historical success of land and expand in our new partnerships, we anticipate this new client cohort to generate between $60 million and $70 million in FY '24, which we expect will continue to grow into FY '25. Our ability to win high-profile deals continues to be a direct result of our differentiated BPO 2.0 capabilities, which include our Wave X technology stack, our powerful Wave X business analytics, IBEX's amazing company culture and highly branded sites. This positions us to deliver outstanding results for our clients. As an example, this past fall we launched with a top tier healthcare payer as their first new BPO partner in several years. The incumbent providers are the largest of our competitors. Following a very successful launch, IBEX attained the number one partner ranking amongst eight competitors for the March quarter. The client recognized us for this achievement by stating this is a remarkable milestone for IBEX, since we only started operations in October 2022. Its performance like this that enabled our strategic FinTech and HealthTech verticals to grow 18% year-over-year to 32% of total revenue. This exemplifies the power of our solution where we integrate technology, analytics, unparalleled culture and an amazing management team. As said, the growth of our BPO 2.0 segment of our business is driving growth in our higher margin, offshore, nearshore and rest of world regions. These markets now represent 72% of our overall business and grew approximately 15% from prior-year quarter. We have thoughtfully restructured the makeup of our U.S. footprint into a smaller region with more profitable clients, enabling our margins to increase. As mentioned earlier, with the completion of our site rationalization in the current quarter, we expect continued margin expansion into FY '24 for our U.S.-based operations. Another vector for margin expansion is selling into the available capacity we have in our higher-margin regions. Work from site capacity utilization grew from approximately 50% into the 60%-s in the last two quarters, resulting in sizable margin gains. We believe we will continue to improve utilization based on our strong pipeline, which will result in further margin improvements. With all this momentum, we like the trajectory of IBEX. Our people are the very fabric of IBEX. They make our brand what it is. I am so proud of the approximately 35,000 employees who bring it each day to deliver great customer experiences for our clients. We recently completed our iVoice net promoter score survey of our employees globally. And we are delighted by both the participation rate and the NPS results, where we scored an impressive 85% and 68%, respectively. In a highly-competitive market like the Philippines, we scored a best-in-class 79% employee net promoter score. As you can see from these results, our brand is strong in all our regions, highlighting the impacts of our agent-first culture and unparalleled employee engagement. We were thrilled to resume our regional VIP recognition events after a two year hiatus due to the pandemic. The events and experiences our agents and management teams take away from these VIP events enable us to continue to expand our brand and loyalty with our people across the globe. This in turn helps drive great customer experiences for our clients. Now, our industry is moving extremely fast. As we have discussed, there is a continued shift to digital-first, something IBEX has embraced with our growth of our BPO 2.0 client base. Recently, industry consolidation has accelerated with the announced mega mergers, and leading most headlines is the exciting intersection of AI and CX. I believe IBEX is well positioned to take advantage of these opportunities presented. In the digital-first world, we have transformed IBEX from a company that did mostly voice-only support when I joined in 2015 to a company that is now over 73% digital. This is core to who we are and the clients we serve. I believe we are uniquely positioned to capitalize on this continued trend to digital-first and analytics, leveraging our Wave X tech stack and the power of our business analytics offering, where today we have over 90 deployments in our client engagements. Second, our industry has had a 25-year trend of mergers and acquisitions, with continued consolidation across the space. Despite that trend, the industry is still extremely fragmented, and clients continue to come to companies like IBEX looking for differentiation, wanting better, desiring culture, speed, flexibility and leaned-in leadership. That has enabled us to build a reputation as a partner that comes in as a challenger and outperforms. Our focus is on increasing value for our clients with advanced analytics, technology and digital-first solutions. Mckenzie recently highlighted that only 37% of organizations are using advanced analytics to create value. We see this as an opportunity for IBEX. Lastly, generative AI technologies present great opportunities for IBEX. IBEX is tech led. We have approximately 400 developers of purpose-built technologies focused on CX solutions for over 20 years. That team has developed a deep experience deploying AI-based solutions. A prime example of this is in our Wave X business analytics offering, where we have been deploying speech-to-text capabilities then leveraging AI and machine learning based models to deliver operational data to implement improvements and provide meaningful insights back to our clients. Generative AI enables us to automate this process and provide deeper insights faster and at a lower cost. Two quarters ago, our Wave X tech team began development of generative AI solutions to assist our agents in delivering great experiences. We are excited about the early results and the game-changing potential that the technology has. More than ever though, our clients' Boards and CEOs are asking their organizations about generative AI. With the competencies we have built, we believe we are well positioned to work with our clients to help them better understand how to assess opportunities in their business as well as to eventually have IBEX build out and implement solutions for them across the customer lifecycle. This is an exciting time for IBEX. Now, moving on to the outlook for the remainder of the fiscal year. We have a high degree of confidence about the trajectory of our business. Our business continues to progress extremely well on profitability and balanced top-line growth. We are confident that we have reached a new level of profitability in our business going forward. As a result, we are raising guidance for adjusted EBITDA for the full year to $88 million to $90 million from $82 million to $84 million. If you recall, adjusted EBITDA for FY '22 was $66.8 million. Recognizing the impact to revenue of the current macro environment and our strategic decision to accelerate the movement of key clients from onshore to offshore higher-margin regions, we are reducing guidance for revenue for the full year to $523 million to $527 million from $545 million to $555 million. The resulting midpoints will have IBEX at approximately 17% adjusted EBITDA for the year, which would be an improvement from 13.5% in FY '22. We expect CapEx of approximately $19 million. Before I close, I want to thank our CFO, Karl Gabel, for his dedication to IBEX over the last 19 years, eight of which I've had the privilege to be part of. Karl will be retiring June 30, the end of our fiscal year. He will be missed, but thanks in no small part to his efforts, the company is in an amazing position going forward. Karl, now over to you.
Karl Gabel: Thank you, Bob, and good afternoon, everyone. First, it has been a great privilege to be part of the IBEX family for nearly two decades and I am extremely proud of everything we have accomplished. More importantly, I want to follow-up on Bob's comments regarding our confidence in the positive direction of our business. Our strategy of providing BPO 2.0 services to clients in our higher-margin regions while remaining focused on improved onshore profitability is a core driver in achieving profitable revenue growth. Our fundamental financial drivers are strong, as evidenced by our revenue growth, adjusted EBITDA margin improvement, increased free cash flow and only minimal borrowings. We believe we are well positioned in the marketplace for future growth because of the strategic decisions we are making today. In my discussions of our third quarter fiscal year 2023 financial results, references to revenue, net income and net cash generated from operations are on an IFRS basis, while adjusted net income, adjusted earnings per share, adjusted EBITDA and free cash flow are on a non-GAAP basis. Reconciliations of our IFRS to non-GAAP measures are included in the tables attached to our earnings press release. Third quarter revenue increased 1.9% to $131.6 million compared to $129.1 million in the prior-year quarter. Excluding the legacy client that we exited in Q4 fiscal year '22, our revenue increased 8.4% over the prior-year quarter. Revenue growth was driven by our higher-margin regions, offset by lower onshore revenue. We continue to experience high growth in our BPO 2.0 clients as this cohort grew by 12.3% over the prior-year quarter and now represents 77.6% of our total revenue versus 70.4% in the prior-year quarter. However, we are experiencing some macroeconomic headwinds which are contributing to longer new client sales cycles and impacting near-term revenue growth. Net income increased to $11.7 million versus $6.6 million in the prior-year quarter. The increase in net income was primarily the result of stronger operating results and the revaluation of the share warrants, partially offset by higher income tax expense. The increase in income tax expense was mostly driven by a significant one-time deferred tax benefit recorded in the prior-year quarter along with increased profitability in the current year quarter. We expect our fiscal year 2023 annual effective tax rate to be in the range of 15% to 17% on a normalized basis, excluding the effect of the warrant fair value adjustment. Adjusted EBITDA increased to $24.4 million or 18.5% of revenue, compared to $18.8 million or 14.6% of revenue for the same period last year. The increase in adjusted EBITDA margin was primarily driven by growth and profitability in our BPO 2.0 clients in higher-margin regions, client price increases and higher work-from-site capacity utilization. On a non-GAAP basis, adjusted net income increased to $11.3 million compared to $10.7 million in the prior-year quarter. Non-GAAP fully diluted adjusted earnings per share increased to $0.59 compared to $0.57 in the prior-year quarter. The increase in adjusted net income and non-GAAP fully diluted adjusted earnings per share was primarily driven by stronger operating performance offset by higher income tax expense. For the third quarter of fiscal year 2023, our top five client concentration decreased to 37.6% from 38.5% of overall revenue compared to the same quarter last year. Our top 10 clients remained essentially the same quarter-over-quarter at 55.7% of total revenue. We continue to maintain our focus on client diversification. Switching to our verticals. Retail and e-commerce increased to 22% of third quarter revenue versus 18.6% in the prior-year quarter. FinTech and HealthTech increased to 32.2% of third quarter revenue versus 27.9% in the prior-year quarter. Our exposure to the telecommunications vertical continues to decrease, accounting for 16.2% of quarterly revenue versus 17.1% in the prior-year quarter. Technology decreased to 9.2% from 14.7% of quarterly revenue, mainly due to the exit of a lower-margin legacy client in Q4 fiscal year '22. Travel and transportation decreased to 10.7% from 12.9% of quarterly revenue primarily due to macroeconomic pressures experienced by one of our larger clients, as discussed in the prior quarter. Net cash generated from operations was $17.2 million for the quarter compared to $12 million in the prior-year quarter. The increase was primarily driven by expanded adjusted EBITDA. Our DSOs were 53 days, up three days year-over-year and up two days sequentially. We continue to trend below industry average. Capital expenditures were $3.8 million or 2.9% of revenue in the third quarter of fiscal year '23 versus $6.1 million or 4.7% of revenue last year. As previously stated, we continue to utilize available capacity built out in prior years that is now available as a result of the removal of social distancing requirements. Non-GAAP free cash flow increased to $13.4 million in the current quarter compared to $5.9 million in the prior-year quarter. We ended the third quarter with $43.7 million in cash, down from $48.8 million as of June 2022. Total debt was $84.3 million, including lease liabilities of $84.2 million and total borrowings of $0.1 million, down from total debt of $104.7 million, including lease liabilities of $89.7 million and total borrowings of $15 million as of June 2022. Borrowing availability under our revolving credit facilities increased to $77.6 million as of March 31, 2023, compared to $50.5 million as of June 30, 2022. We have a high degree of confidence in the direction of our business, driven by the growth of our digital-first BPO 2.0 business that is delivered out of our high-margin regions. Therefore, we expect to drive strong margins on a go-forward basis, but are cognizant of the impact of the macroeconomic environment is having on our sales cycles and client volumes. As a result, we are revising our previous guidance for fiscal year 2023. We expect fiscal year 2023 organic revenue between $523 million and $527 million with a midpoint growth of 6.4% versus fiscal year 2022 and expected adjusted EBITDA between $88 million and $90 million with a midpoint margin of 17%. We expect capital expenditures of approximately $19 million. With that, Bob and I will now take questions. Operator, please open the line.
Operator: Thank you. [Operator Instructions] Our first question will be coming from the line of David Koning of Baird. And also please wait for you...
David Koning: Congrats on incredible margins.
Bob Dechant: Yes, thanks, Dave. We're really excited about everything we've done here structurally that are driving these margins, kind of continuing where we were and even getting better from Q2.
David Koning: Yes. Well, that's great. I guess my question on that I know 17% roughly this year and it has been 18% the last couple of quarters now. I guess first of all, is that sustainable for -- like into the future now -- into next year? And it seems like a lot of that's being driven by gross margin, which I think echoes kind of your geo mix comments. Is that all fair to say?
Bob Dechant: Yes, it is Dave. I think it's sustainable and hopefully we can even improve upon that by continued selling in. We have the strong pipeline of clients that continue to go into our high-margin regions, with a lot of capacity available still that will drive strong margin flow through. And then, we've -- as I said, we've rationalized our U.S. footprint, some sizable capacity moved out that will be completed this quarter. So this quarter -- so as we move into FY '24, we really like the position we're in.
David Koning: Yes, great. And I guess my follow-up. The revenue guide down -- I mean it makes a lot of sense if you're moving offshore that revenues would be trimmed a little bit, but how much really was just that mix shift and how much is a little bit of volume trim?
Bob Dechant: Yes. So, great question on that. And so, first and foremost, what I would say is consumer demand is down, and we've all been hearing that. And so that does impact the business. What I would say is the macro environment has pushed some deals out a little bit and that's -- and that's moved revenue to the right. We're confident that it hasn't moved it off the table, it's just moved it a little bit right. And then, the third leg is really then the rationalization, working with our clients to -- we've done such great work in places like the Philippines that we just said, let's accelerate it, great for us, great for them. And so, those are good partnerships at play then to our -- kind of our overall health of our business.
David Koning: Got you. Well, thanks, guys. Great job.
Karl Gabel: Thanks, David.
Operator: Thank you. [Operator Instructions] The next question will be coming from Tobey Sommer of Truist. Your line is open.
Tobey Sommer: Thank you very much. I wanted to ask a question about free cash flow. [indiscernible] this year and as you kind of get a full annualized impact of the accelerated move towards more profitable markets, what does it look like in 2024? Even in broad strokes, if you can talk about EBITDA margin versus what you perceive to be the CapEx trend over time? Thanks.
Bob Dechant: Sure. So, let me touch on just maybe at the -- kind of the high level structural, and then I'll pass over to you, Karl, if that makes sense. But -- so thanks for the question, Tobey. So here's what we like. We believe we're at a real new normal here, strong EBITDA. As you know, we've spent a lot on the CapEx over the last several years in the COVID world with our build outs, and now we're harvesting that. And so, you've seen our CapEx go down sizably over the quarter. So, those are, let's say, some of the kind of the big moves. Interestingly enough is I think our trailing 12 months on free cash flow is about $44 million. So those are really good trends that I think we'll continue to work into FY '24 and beyond. So, Karl, maybe from there you might want to just touch on a few more elements.
Karl Gabel: Sure. Thanks for the question, Tobey. I think just open broad strokes just structurally just to kind of reemphasize what Bob's been mentioning previously, just the new normal with the adjusted EBITDA, greater dollars, greater percentage, the lower CapEx, and if we maintain, which we are, our discipline on our DSOs, which are in the low 60s, all those point to strong conversion when you're looking at the free cash flow. So, structurally, we think as we've increased the EBITDA and we kind of maintain the focus on working capital with lower CapEx, that will lead to stronger free cash flow.
Tobey Sommer: I appreciate that. How low do you think you could drive the U.S. footprint down as a percentage of sales over time and still have sort of that easy-to-reach presence that domestic clients sometimes like to have as they're beginning a relationship with the firm?
Bob Dechant: Yes, and your instincts are right on that, Tobey, around what clients want, and so it's important to have that, as well as then in the world of FinTech and healthcare, those footprints we do have clients that we believe will stay in that region forever with us. Now, we shared in the slides, et cetera, the view of our revenues by region. I thought that would be helpful. And so for the quarter, the U.S. is down to 28%. But a lot of the moves and shifts, et cetera, occurred during the quarter. So, as you -- as we exit, let's say, this quarter Q4, I think we'll be in the low 20%s. How much further below that? I still think there's a viable place for us and the U.S. So, would it get below 15%? Probably not. So, maybe stay kind of in that 15% to 20% range. But what I do want to point out is the margin structure. And so -- and we did this at the expense of top-line growth, exiting a really low-margin client that was all U.S., and then things like that. We have the U.S. margins structured really well with further gains as now we have that capacity and that we did the site rationalizations. That will benefit us really for -- well for -- in all of FY '24. So that 15% to 20% range for us is now no longer kind of at a low margin and weighting down our overall margin structures, and we're really happy what we've done in that position going forward.
Tobey Sommer: Okay. Thanks. Last question for me. Are clients well versed enough in the application of generative AI and adopting it internally in their organizations? Is that kind of being thrust upon you from that direction? Or are they expecting outsourced providers like IBEX to drive the change and adoption? I just kind of want to understand the push versus pull dynamic between your customers?
Bob Dechant: Sure. Great question. There's a wide range, but I would -- if I summarize, I would say the flow is Board to CEO to management in our clients, and then management, I think they're looking, right? They're trying to understand. They're reaching out to get better understanding of the applications of that and where it could. And I think that creates opportunities like us -- for us where, A, we've already been deploying these internally. But we also have a wide range of where our clients might be leaning towards deploying. And so, harvesting that information, grabbing that and then having those discussions, I think we play a very important role with our clients in developing those strategies and making them kind of be successful with that.
Tobey Sommer: Thank you.
Operator: Thank you. [Operator Instructions] And our next question will be coming from Ryan Potter of Citi. Your line is open.
Ryan Potter: Hey, thanks for taking my question. Wanted to start on the transition from U.S. to offshore. I guess how much of this is being driven by you yourself trying to push towards the higher-margin regions versus clients trying to move work to also focus on cost savings on their own? And in terms of the higher, I guess, margins in terms of what's being left in the U.S., is that mostly being done work-from-home aspects or you've kind of rationalized the office footprint there or the type of service is less in the U.S.?
Bob Dechant: Sure. And Ryan, thanks for joining us today. And also let me -- hopefully, I can hit all of those, and if I don't, feel free to touch on things that I missed. But so the move is really collaborative. And it's with clients that we've had footprints in the Philippines. We've had foot prints in the U.S. We've had clients that say, "Hey, let us try. Let us see how it goes." They may be first-time movers into the Philippines. Inevitably, the performance that we are delivering for that -- those sets of clients is really strong to where we collectively have stepped back and say, "These are the things that we would do if we were you," and to drive costs out of their enterprise, but while not sacrificing the customer experience. And so what's really good is their collaborative. And so it's not one -- it's not them, it's not it's us, it's us as partners really working together. And as a result, the transitions have been really, really good. Now in the -- your question then around the U.S. and kind of how we're operating, we have, let's say, about 85% work-at-home model in the U.S. And that has enabled us to take sites offline a couple of years ago and then this continued approach. And so, we like that model because it allows us to stay very lean on our costs -- on our fixed costs in the U.S. It allows us to hire in a much broader environment in the U.S. So, we have not had any challenges hiring because our pipeline is expanded, because you don't have the geographic limiters in the work-at-home model. And what we've found is our clients are very receptive to that because they know that those -- all of those elements are taking place that enable it to still be a sustainable operating model. And so when you put all of that together and the type of clients that we've sold into the U.S., we have a pretty good operating model now, strong margins and a trajectory that's, I'll say, up into the right.
Ryan Potter: Got it. That makes sense. And I guess with this move being more collaborative with clients and -- have you seen like additional volumes coming your way from clients as you made this move to offshore to offset some of the revenue hit? And then, a separate question, I know you mentioned lengthening of sales cycles, but have you also seen ramps from clients being delayed on already closed deals at all?
Bob Dechant: Yes. So, a couple of good questions. When the larger clients that we've had that have -- that we've then moved, they have looked and say, "Who are our performers?" And they have actually consolidated out a couple of our competitors in that move. So, we have gotten market share around those moves and now we have less competitors because they've kind of, let's say, rationalized them outside of their enterprise. So, I think we've done well from that perspective. And then, Ryan, I apologize, the second part of your question, if you could just repeat that would be great.
Ryan Potter: Yes, alongside the lengthening of the sales cycle for new logos, are you seeing ramps on already closed deals being delayed at all [indiscernible] as well?
Bob Dechant: Yes. And so, here's an interesting thing, and let me just talk a little bit about the pipeline, if I could, and then get to your answer. Our pipeline is strong. Our industry has historically been -- there's two really strong areas of this industry over the years. One is when clients are growing rapidly and they need scale. And those decisions -- that's what we've been under the last several years, because of just the growth of the digital-first. And so those decisions are made fast. And the velocity of those deals typically are done quickly. There's always a second growth element in our business, which is on downturns. But those typically clients start being a little bit more deliberate and they start making sure their chess pieces as they move to take cost out are well thought. And so, I feel like that's where we are right now that the ramps are slowed, might be pushed out to the right. I think as clients are thinking a little bit more deliberately. Now inevitably, they have to -- kind of -- I think the three big buzz words for them to compete is outsourcing, offshoring and AI. And so -- but I -- so I kind of view that as we move that our growth side will -- those things will start coming together, let's say, kind of in our late this year, next year, again, depending on kind of what happens in the macros. But usually it takes a little bit more time and I think that's kind of how I'm thinking this thing might play out. But hopefully that helps give a little bit of clarity of kind of how we were thinking about the pipeline. And so overall, I feel it's in a good environment over the long haul.
Ryan Potter: Great. Very helpful. Thanks again, and best of luck, Karl.
Karl Gabel: Thank you.
Operator: Thank you. That concludes today's Q&A session. I would like to turn the conference back over to Bob Dechant for closing remarks. Please go ahead.
Bob Dechant: Thanks, operator. And so, appreciate everyone joining us today. Hopefully, you can see from both Karl and my perspective, our belief in the strength of what we've done here at IBEX, the trajectory of this business and, inevitably, our ability to win and compete in this environment. So, thank you all for your trust, confidence in IBEX, and we look forward to talking to you next quarter. Bye.
Operator: This concludes today's conference. You may all disconnect. Everyone, enjoy your evening.